Operator: Thank you for standing by. My name is Rochelle, and I'll be your operator today. At this time, I would like to welcome everyone to the Q3 2025 Albany International Corp. Earnings Conference Call. [Operator Instructions] I will now turn the conference call over to Joseph Gaug. Please go ahead.
Joseph Gaug: Thank you, Rochelle, and good morning, everyone. Welcome to Albany International's Third Quarter 2025 Earnings Conference Call. As a reminder to those listening on the call, please refer to our press release issued last night detailing our quarterly financial results. Contained in the text of that release is a notice regarding our forward-looking statements and the use of certain non-GAAP financial measures and their reconciliation to GAAP. For the purposes of this conference call, those same statements apply to our verbal remarks this morning. Today, we will make statements that are forward-looking and contain a number of risks and uncertainties, which could cause actual results to differ from those expressed or implied. For a full disclosure of these risks and uncertainties, please refer to both our earnings release of November 5, 2025, as well as our SEC filings, including our 10-K. Now I will turn the call over to Gunnar Kleveland, our President and CEO, who will provide opening remarks. Gunnar?
Gunnar Kleveland: Thank you, Joe. Good morning, and welcome, everyone. Thank you for joining our third quarter earnings call. On today's call, I'd like to begin with a recap of some important developments that we have announced, followed by a high-level review of our go-forward strategy and conclude with an update by segment on our end markets and business developments. I will then turn the call over to Will to take you through the numbers. On October 28, we announced a strategic review of our structures assembly business at our Amelia Earhart Drive facility in Salt Lake City, which could include the sale of the site. Together with our Board, we have determined this is in the best interest of stakeholders for 2 primary reasons. First, structures assemblies do not align with our long-term strategic priority to focus on 3D woven technology and engineered components, where we have a distinct competitive advantage through proprietary technology. Second, typically, this type of work is characterized by large long-term contracts with complex supply chains, higher risk, and lower margins. As a result of these 2 factors, because they do not align with our strategic goals, we have decided to explore options for our structure assembly work. Alongside these decisions, we've also taken a loss reserve and the program adjustment to recognize a full expected loss on the CH-53K program of $147 million over the next 8 years. This follows a period of significant effort by our team taking decisive action over the past year to address program challenges, including upgrading the leadership, bringing in people with experience in planning, procuring, and executing structural assemblies and addressing material availability. Despite these efforts, we now recognize that without changes to the contract, there is no path to profitability on the program as originally bid. In addition to these charges and our strategic review, we're also engaging with our customer to discuss potential solutions through the duration of the program. Similarly, we also announced today we have reached definitive agreement with Gulfstream to complete our current contract at the end of 2025. We're working to deliver the remaining components to Gulfstream by year-end and look forward to a successful closeout of the program. Importantly, these 2 programs have primarily been responsible for the continued cost estimate adjustments over the past 16 months. Exiting these programs would mean our remaining portfolio is substantially derisked from future charges. All of our remaining programs are performing well and carry attractive margin profiles. Following the conclusion of these activities, we expect to be a more focused and integrated company with 2 segments built around our core competency of industrial weaving technology. Our machine clothing business continues to be the backbone of Albany International. We're the global leader in paper machine clothing and process belts, serving every major grade of paper production. We also hold a leading position in engineered fabrics, supporting a range of other industrial applications like nonwoven, fiber cement and corrugated packaging. This is a business built on decades of technology leadership and deep customer partnership supported by more than 700 worldwide patents. Our products are essential to how efficiently our customers' machines run, improving fiber use, reducing energy and chemical consumption, and helping them hit their quality and sustainability goals. The segment delivered strong EBITDA margins in excess of 30% with exceptional cash generation, which gives us the flexibility to reinvest in innovation and support growth across the company. Our competitive edge comes from the high consistency and quality of our products, our global service network and continual investment in innovation. Our Engineered Composite business complements our expertise in weaving technology and is a long-term growth engine. Over the past decade, it's delivered an impressive 12% organic revenue CAGR, and we see meaningful runway ahead as adoption of our proprietary technology continues to accelerate. The Engineered Composite business grew organically from our deep roots in weaving and process engineering, evolving into a leading global supplier of aerospace engine and structural composite components. Through our joint venture with Safran, we have industrialized proprietary 3D weaving technology used in LEAP and GE9X engines, making us the sole global aerospace supplier of 3D woven resin-infused parts. As of today, we have delivered in excess of 220,000 fan blades and 11,000 cases to our customers. Outside the joint venture, we're expanding our dry fiber, 3D weaving and resin transfer molding capabilities, enabling the replacement of titanium components with lighter, stronger composite alternatives. We're also advancing high-temperature ceramic matrix and carbon-carbon solutions, which open doors in hypersonics, missiles and next-generation defense platforms, areas that are in high demand and rich with bidding activity. Our 3D woven parts offer superior strength to weight performance, faster lead times with full domestic sourcing, which helps customers reduce supply chain risk while improving performance. We're also leveraging our braiding and winding technologies and industry-leading resin transfer capabilities to support programs in missiles, engines, advanced air mobility and defense programs. As our differentiated programs scale and improve our overall mix, we expect continued margin expansion and sustained profitable growth. Taken together, these complementary businesses deliver strong consistent cash flow driven by the market-leading position of machine clothing and the growth of engineered composites. This is supported by our balanced capital allocation strategy as we invest for growth while returning cash to shareholders. Over the past 12 months, we have deployed about $68 million in CapEx and $47 million in R&D, while returning more than $200 million to shareholders, including repurchasing roughly 8% of shares outstanding and $32 million of dividends. Together, these strengths give us the flexibility to invest in for the future, return capital to shareholders and continue building long-term value through disciplined execution. Turning to the conditions in each of our segments and end markets. I'll begin with Machine Clothing, where third quarter dynamics were mixed across regions. In North America, shipments improved sequentially though order intake remained soft, reflecting the impact of ongoing packaging and corrugator mill closures tied to industry consolidation. The weakness was partially offset by continued stability in the tissue market, which remains a solid and resilient end use. In Europe, the market recovery continued but showed signs of moderating. Meanwhile, Asia remained challenged with overall demand at low levels, largely due to overcapacity. Our strategic focus on the tissue market remains a key source of strength, supported by several new investments to build on our market-leading position. Turning to Engineered Composites. As I noted, we announced a strategic review of our structures assembly business, including the related production side as well as the planned closeout of Gulfstream program. These actions substantially reduce future program risk and allow us to sharpen our focus on higher return opportunities. All of our remaining programs are performing well with solid execution across both defense and commercial aerospace platforms. On the commercial side, the LEAP program continues to strengthen, supported by higher OEM production levels heading into 2026. In defense, we remain well positioned on the F-35 platform as well as the JASSM and LRASM missile programs, and we're continuing to invest in next-generation hypersonic capabilities and other missile programs. We're also proud to support Beta Technologies as they advances aircraft certification and ramps production in the advanced air mobility market. Looking ahead, our pipeline of new business opportunities remain strong, spanning commercial engines, defense, space, and advanced air mobility. Across all of these areas, we're focused on leveraging Albany's differentiated materials, processes and engineering expertise to drive high-value long-term growth. Overall, we made a lot of progress in this year of transition to simplify the business and to strengthen our focus. We're positioned around 2 great material science businesses linked by expertise in weaving. Machine Clothing, our foundation and cash generator and Engineered Composites, our engine for long-term growth. Together, they give a solid platform for continued improvement and value creation. With that, I'll hand it over to Will to walk through the financials.
Willard Station: Thank you, Gunnar, and good morning, everyone. Before reviewing our third quarter results, I'd like to offer a few brief observations since arriving at Albany. It's clear to me that this is a company built on a strong foundation, one defined by technical excellence, customer trust and a disciplined approach to execution. In my early discussions across the organization, I've seen firsthand the depth of our expertise and the consistency of our performance-driven culture. Our technology portfolio is differentiated and deeply embedded with customers in markets where reliability and precision matters most. That creates a durable competitive advantage and position us well for sustainable growth. Equally important, our teams bring a high level of professionalism and accountability. There is a shared understanding of what it means to deliver for our customers and our shareholders. As I step into my role, my focus is on reinforcing that foundation and partnering with Gunnar as we sharpen our portfolio, drive operational discipline, and allocate capital in ways to strengthen long-term value creation. While I'm still early in my tenure, I have strong confidence in the capability of our people, the quality of our assets and the opportunities ahead of us. Turning to our financials for the quarter. We have taken important steps to refine our business to create an even stronger foundation for profitable growth going forward. The strategic decision to restructure our exit business lines that are not contributing to our bottom line will enable our team to focus on profitable growth that is in line with our core strength. This led to some significant charges in the quarter. So let me provide some color on the third quarter financial results. Third quarter revenue was $261.4 million compared to $298.4 million in the prior year period. The decline reflects a $46 million revenue charge associated with the CH-53K program loss reserve and program adjustments. Excluding this impact, revenue was modestly lower year-over-year, primarily due to softer demand in select machine clothing market in Asia and partially offset by stronger engineering composite volumes on the LEAP program. We reported a GAAP net loss of $97.8 million or $3.37 per diluted share versus net income of $18 million or $0.57 per share in the prior year. The prior year quarter net income included a tax benefit of $7 million or $0.24 per diluted share. On an adjusted basis, net income was $20.6 million or $0.71 per diluted share compared to $35.2 million or $1.12 per diluted share in Q3 of 2024. In both periods, the impact of CH-53K program adjustments are excluded. Adjusted EBITDA was $56.2 million, representing an 18.3% margin versus a 21.5% in the third quarter of 2024 after excluding the effects of the CH-53K program charges in the prior year. Despite lower revenue, underlying performance remains resilient, supported by disciplined cost management and solid operational execution. Moving to our segments and starting with Machine Clothing. Revenue was $175 million, a 4% decline from the prior year, reflecting softer demand in Asia and strategic business exits in Europe, while other regions remained stable. Adjusted EBITDA was 31% compared to 33.2% last year as lower volumes in Asia were partially offset by ongoing benefits from footprint optimization. Turning to Engineering Composites. Revenue was $86.5 million compared to $115.4 million last year. The decline was driven entirely by the CH-53K charge. Excluding this impact, the revenue was $132.5 million, up from $128.7 million in the prior year, supported by higher LEAP program volumes. Adjusted EBITDA margin was 9.6% compared to 10.3% a year ago. Switching to the consolidated results and moving down the income statement. Gross profit for the quarter was a loss of $49.9 million compared with profit of $90.4 million last year. Excluding CH-53K impact, gross margins was 31.7%, down modestly from 33.3% due to lower machine clothing volumes. Interest expense increased $5.9 million, reflecting higher borrowing costs. We reported a pretax loss of $122.1 million. The effective tax rate for the quarter was 20%, while in the prior year, it was closer to 7%, primarily due to a tax benefit of $7 million related to the release of a valuation reserve. Turning to cash flow and the balance sheet. Free cash was $25.7 million compared to $31.2 million last year. The change primarily reflects higher capital expenditures and working capital investments supporting key program ramp-ups. We remain focused on disciplined capital deployment. During the quarter, we repurchased $50.5 million of common stock and declared our regular quarterly dividend of $0.27 per share. At quarter end, approximately $93 million remained under our current authorization. Capital expenditures were $18.3 million, up from $15.4 million last year, primarily related to facility optimization and key customer programs. R&D expense was $11.5 million for the quarter, underscoring our ongoing commitment to innovation and to advancing proprietary technologies across both Machine Clothing and Engineering Composites. We ended the quarter with $108 million in cash and $481 million in total debt, resulting in a net debt of approximately $372 million. With more than $400 million in available liquidity, we remain well positioned to fund growth initiatives and return capital to our shareholders. Given the ongoing strategic review of our structured business, we are withdrawing our full year 2025 guidance. The potential range and timing of outcomes from this process makes it difficult to provide a full year outlook that will meaningfully represent the range of expected outcomes. We intend to reinforce full year guidance when we report our fourth quarter results, which will include a comprehensive 2026 outlook and an update to our strategic review. In the meantime, I'll share a few qualitative assumptions to frame how we see the balance of the year. At the total company level, we expect underlying trends from the third quarter to persist into the fourth quarter. In Machine Clothing, we continue to see a generally stable operating environment in the Americas and a moderate pace of recovery in Europe and continued weakness in China. Importantly, we saw further deceleration in China as the third quarter progressed, and we expect that to create a more meaningful headwind to our 4Q results. In Engineering Composites, we expect a performance similar to the third quarter, supported by higher LEAP production volumes. However, lower margin structural work will continue to weigh on profitability as we explore options for the business. Taken together, these dynamics suggest a quarter broadly consistent with recent trends as we remain focused on execution, operational improvement and positioning the business for stronger long-term growth following this transition year. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Peter Arment with Baird.
Peter Arment: Gunnar, maybe just to start, if you could just take us through kind of how you evaluated the ability to kind of move on from the CH-53K. I remember you upgrading the leadership there and thought that might be enough to kind of reset things and turn things around. Maybe if you could just take us -- give us a little more color on the program.
Gunnar Kleveland: Yes, Peter. Thanks. What we saw last fall was a need to upgrade the leadership, but also to upgrade our ability to plan, procure and execute on a program like the CH-53K, which is really a departure for what we do at all of our other facilities. The effort to do that was significant, and that's what we've talked about for several quarters. And we have been able to deliver to our customer. It's been a recovery all along. And by this summer, what we saw was that we had alignment of material. We had people that were trained well, and we had a good planning for how we were going to go and execute. And as we did that and with Will coming in, we took a hard look at what this program would be and look like for the next 8 years. And remember, we're only 6% into this program. But as we looked at it and the learning curve with all the material available with the people in station and us working each of the monuments that we have there, we saw that there was no way for us to make it a profitable program the way it was bid. And so we decided to take the charge. I think the -- and I've talked about this program now, for every quarter, the last 4 quarters and how different it is from what we're doing. So the decision then became, is this too much of a distraction for us to really grow the business the way we want to grow the business, and we made a decision to take a strategic look up and to include selling the site.
Peter Arment: Got it. Okay. That's helpful. Maybe just to switch to something more positive on that. Can you talk about some of the opportunities, I guess, on the 3D side, what you consider core technology, where you're seeing opportunities to win? I know you've talked about hypersonics in the past and defense. Are you seeing more opportunities because of Golden Dome or other things? Maybe you could just give us some more color there.
Gunnar Kleveland: Yes. I think there's a lot -- or there is a lot of activity due to the Golden Dome. We have inbounds from all of the OEMs, and we have a capability that they are interested in. We are able to make a near net shape carbon-carbon part for our customers at a very attractive price point. And we have made the investments over the last 3 years to industrialize it. We also have shown that we can industrialize 3D woven by making 220,000 blades for the LEAP program, which right now, I think the whole industry is looking for how can we accelerate missile production. And we stand very, very ready to be able to do that. So yes, lots of inbounds, a lot of activity, probably one of the areas over the next 3 to 5 years that will have the highest growth for us. We're also seeing more interest in our 3D woven titanium replacement. We'll be announcing more about that as we go through next year, but we have opportunity both at the -- with AAM as well as defense programs and longer-term commercial programs.
Operator: Your next question comes from the line of Jordan Lyonnais with Bank of America.
Jordan Lyonnais: I guess for the prior 2026 targets that were put out there, does anything there change after doing this strategic review outside of the CH-53K? Are you taking the review process there looking at the other programs that we should think about?
Gunnar Kleveland: As we look at 2026, we are a more focused company focused around our technology. The programs that we have today are solid, good return programs that we will continue to have. We are addressing, as we have shown, the programs that are not meeting our expectations on profitability. And as we look at new programs, we've set up the guardrails, and I've talked about this before, the guardrails around how we set up a contract and what the expectation is from a contract, and that's the business we're going after. So that's what you should expect, Jordan.
Operator: [Operator Instructions] Your final question comes from the line of Sam Struhsaker with Truist Securities.
Samuel Struhsaker: So I guess looking at Machine Clothing, it seems to me that, if I'm looking at this correctly, margins have kind of actually trended down a little bit in that business over the last couple of years. But I know you guys mentioned sort of some footprint rationalization acting as a bit of a margin tailwind in this quarter. And then I guess I was just kind of hoping you could give some more detail on kind of how to think about the trajectory for that business margin-wise going forward, kind of looking at the weakening aspects in Asia combined with what you guys are doing in terms of margin expansion initiatives internally.
Gunnar Kleveland: Yes. Thank you. We -- on Machine Clothing, the impact that you're seeing is primarily from Asia. But remember also that we did select to exit parts of the business, Heimbach that we bought that were not profitable. So that was around $15 million worth of top line. And then we had one business in Asia that exaggerated the impact that we've had in Asia around $8 million that went bankrupt. That was also Heimbach. And so those 2 together with all the headwind that we've seen accelerating through the third quarter due to overproduction in China is the impact on the top line, and that has affected our bottom line because it is a -- it has a good return, obviously, the programs that we have in Asia as well. So going forward, we are continuing to rationalize our footprint to get the cost where we want it and be as efficient as we can in the Americas, in Europe and in Asia. And that activity has -- there's been significant activity. I've talked about it in the other calls. That is going to improve our cost position and our margins as the market comes back in Asia because I believe it is a correction due to overproduction and then they'll build up. When that happens, I can't predict right now. And clearly, the global trade has an impact here. So we'll watch and see what happens there as well.
Samuel Struhsaker: Great. And then, Gunnar, if I could squeeze in another one. Just curious, as the LEAP program kind of continues to ramp, I don't know if you guys could give any details on kind of how you're seeing pull rates for that program. And also if there's going to be any sort of kind of improved absorption and margins as that program continues to increase in scale.
Gunnar Kleveland: Yes. It is a significant ramp-up over 2026 and 2027 based on the input that we're getting from Safran and GE. We will be -- in the last call, I said we have -- we're at the inventory level that we need to be at, and we're managing that as Safran is pulling parts from our inventory. That's how the contract is constructed. Remember, though, that this is also a cost-plus contract. So our margins are going to be steady as we go through this. And we will follow the ramp-up of our customers. But it is significant going into 2026 and their projections for '27 is another significant ramp-up. So this program will be solid and provide nice returns for us.
Operator: That ends our Q&A session. I will now turn the call back over to Gunnar Kleveland for closing remarks. Please go ahead.
Gunnar Kleveland: Thank you, everyone, for joining us on the call today. We appreciate your continued interest in Albany International. Thank you all and have a good day.
Operator: Gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.